Operator: Hello, and welcome to today's Tyler Technologies First Quarter 2018 Conference Call and Webcast. Your host for today's call is Mr. John Marr, Chairman and CEO of Tyler Technologies. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference is being recorded today, May 3, 2018. I would now like to turn the conference over to Mr. Marr. Please go ahead.
John S. Marr - Tyler Technologies, Inc.: Thank you, Robert, and welcome to our First Quarter 2018 Earnings Call. With me on the call today are Lynn Moore, our President; and Brian Miller, our Chief Financial Officer. First, I'd like for Brian to give the Safe Harbor statement. Next, Lynn will have some preliminary comments. Brian will review the details of our first quarter results and update our 2018 guidance. Then I'll have some final comments and we'll take your questions. Lynn (sic) [Brian] (01:08)?
Brian K. Miller - Tyler Technologies, Inc.: Thanks, John. During the course of this conference call, management may make statements that provide information other than historical information and may include projections concerning the company's future prospects, revenues, expenses and profits. Such statements are considered forward-looking statements under the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. And are subject to certain risks and uncertainties which could cause actual results to differ materially from these projections. We would refer to our Form 10-K and other SEC filings for more information on those risks. Effective January 1, 2018, we adopted the requirements of ASU No. 2014-09, Topic 606, Revenue from Contracts with Customers, utilizing the full retrospective method of transition. Prior year amounts have been restated from previously-reported amounts to reflect the impact of the full retrospective adoption of Topic 606. We will provide details of the restated annual results for 2016 and quarterly results for 2017 in an 8-K filing next week in conjunction with our 10-Q filing. Please note that all growth comparisons we make on the call today will relate to the corresponding period of last year unless we specify otherwise. Lynn?
H. Lynn Moore - Tyler Technologies, Inc.: Thank, Brian. We put together a strong start to 2018 with our first quarter results. As total GAAP and non-GAAP revenues grew almost 11%. License and royalty revenues were $23 million, up 5%. Subscription revenues paced our growth with a 23% increase. Total recurring revenues from maintenance and subscriptions grew 13% and comprised 65% of total revenue. Since 2010, we have achieved greater than 20% growth in subscription revenues in 31 of the last 33 quarters. On April 30, we completed the acquisition of Socrata, Inc., a Seattle-based venture-backed technology company focused exclusively on accelerating the shift to digital government. With this acquisition, Tyler clients in every public sector vertical including justice, public safety, ERP financial and community development will have the opportunity to make their data discoverable, usable and actionable, while potentially including data from other jurisdictions to make analytics even more powerful and meaningful. The data-as-a-service solution will go beyond typical analytics to help local government understand procedural bottlenecks and create predictive models that will assist in improving government operations. Socrata is the industry leader in open data and data-as-a-service solutions for local government, providing cloud-based data integration, visualization, analysis, and reporting solutions for state, local and federal governments, as well as internationally, to improve their performance, increase accountability, gain better financial insights and extend citizen engagement. Founded in 2007, Socrata employs approximately 150 people. Socrata brings a roster of marquee Tier 0 and Tier 1 clients such as the Michigan State Budget Office, the Utah Department of Transportation, and general administration offices for several states including Texas, New York, Illinois and Pennsylvania and the cities of Los Angeles, Dallas and New York. With a robust cloud-based data management platform and a suite of data conceptualization applications, we expect to help find solutions to the challenges faced by governments in a significant way using big data. The acquisition will allow the business to tailor its solution to the needs of the public sector verticals we serve and achieve continued market growth potential. And Socrata employees and clients will benefit from our broad reach across the public sector space. Also on April 30, we acquired Sage Data Security, leading experts in cybersecurity. Sage offers a suite of service that's supports an entire cybersecurity lifestyle -lifecycle including program development, education and training, threat detection, technology testing, advisory services and digital forensics. Sage currently delivers three primary offerings to approximately 240 clients in the healthcare, financial, retail, education, and government sectors. The acquisition of Sage will allow us to provide our public sector clients with unique cybersecurity services that further protect their investment in Tyler solutions. Sage's nDiscovery offering pairs well with our solutions and allows us to provide additional value to our clients to manage cyber-attacks and data security issues as cybersecurity threats grow in scope and sophistication. Back to the quarter, subscription bookings made up a higher percentage of new software deals in the quarter compared to last year's first quarter, both in terms of the number of contracts and total contract value. We're pleased that we achieved double-digit revenue growth even with that new contract mix. Bookings comparison between quarters is somewhat skewed as in Q1 of 2017 we signed a $20 million contract with the State of New York for our tax solution. Our largest new license deal of the quarter was with Anchorage, Alaska for our iasWorld Appraisal & Tax solution, valued at approximately $3.6 million. We also signed a new license deal with the Northern Territory in Australia, expanding that relationship by adding our Odyssey Courts & Justice solution in additional courts down there. Other significant on-premise license deals signed during the quarter, each with a total contract value of $1 million or more included multi-product arrangements with Peoria, Illinois for our Munis and EnerGov solutions; Carson City, Nevada for our Munis, EnerGov and ExecuTime solutions; the Harrisonburg-Rockingham Emergency Communication Center in Virginia for our New World Public Safety, Brazos and SoftCode solutions; and Bedford County, Virginia, for our Munis and EnerGov solutions. As well as licensed deals for our Munis solution with the Pittsburgh Public Schools, the second largest school district in Pennsylvania, and the cities of Newton, Massachusetts, and Bentonville, Arkansas. Significant new SaaS contracts in the quarter included deals for our Munis solution for the cities of Gresham, Oregon; Fishers, Indiana; and Upper Darby Township in Pennsylvania. We also signed notable SaaS arrangements with Fresno County, California, for our Eagle Recorder solution and with the city of Rancho Cordova, California for our EnerGov solution. Finally, we signed an amendment with the Minnesota State Court Administrative (sic) [Administrator's] (8:03) Office, a current state-wide Odyssey client to include our Odyssey Supervision solution. Now I'd like for Brian to provide more detail on results for the quarter and update our annual guidance for 2018.
Brian K. Miller - Tyler Technologies, Inc.: Thanks, Lynn. Yesterday, Tyler Technologies reported its results for the first quarter ended March 31, 2018. I'm going to provide some additional data on the quarter's performance and update our annual guidance for 2018 and then John will have some additional comments. In our earnings release, we have included non-GAAP measures that we believe facilitate understanding of our results and comparisons with peers in the software industry. These measures excludes write-downs of acquisition-related deferred revenue and acquired leases, shared-based compensation expense, the employer portion of payroll taxes on employee stock transactions, and amortization of acquired intangibles. A reconciliation of GAAP to non-GAAP measures is provided in our earnings release. We have also posted on the Investor Relations section of our website under the Financials and Annual Report tab schedules with supplemental information provided on this call, including information about quarterly bookings, backlog and recurring revenues. GAAP revenues for the first quarter were $221.2 million, up 10.7%. On a non-GAAP basis, revenues were $221.4 million, also up 10.7%. Revenue growth was strong, considering the higher percentage of subscription agreements in our bookings this quarter. Subscription revenues for the quarter increased 23%. We added 122 new subscription-based arrangements and converted 26 existing on-premises clients, representing approximately $25 million in total contract value. In Q1 of last year, we added 92 new subscription-based arrangements and had 17 on-premises conversions, representing approximately $25.8 million in total contract value. Subscription clients represented approximately 63% of the number of new software contracts in the quarter, compared to 45% in the prior year quarter. While subscription contract value comprised 40% of the total new software contract value signed this quarter, compared to 29% in Q1 of last year. The value-weighted average term of new SaaS contracts this quarter and Q1 of last year was 5.3 years. Transaction-based revenues from e-filing and online payments, which are included in subscriptions, increased 19.5% to $16.5 million, from $13.8 million last year. That amount includes e-filing revenue of $12.5 million, up 19.9% over last year. Annualized total non-GAAP recurring revenues for Q1 were $572 million, up 13.2% from last year. Cash flow from operations was $44.6 million compared to $48.2 million last year, down 7.4%. Free cash flow, which is calculated as cash from operations less capital expenditures, was $35.7 million, up 26%. Capital expenditures declined 55% due to the completion of our Yarmouth office expansion. Our CapEx for the quarter was $8.9 million including approximately $890,000 related to real estate, compared to total CapEx of $19.8 million in Q1 of last year, which included $7.8 million related to real estate. We ended the quarter with $307.2 million in cash and investments and no outstanding debt. Days sales outstanding in accounts receivable was 88 days at March 31, 2018, compared to 82 days at March 31, 2017. Our backlog at the end of the quarter was $1.2 billion, up 16.8%. Backlog included $334.7 million of maintenance compared to $297.6 million a year ago. Subscription backlog was $467.9 million compared to $378.3 million last year and includes approximately $139 million related to fixed-fee e-filing contracts. Our bookings for the quarter, which are calculated from the change in backlog plus non-GAAP revenues, were solid at approximately $195 million, an increase of 9.5%. For the trailing 12 months, bookings were approximately $1 billion. Our software subscription bookings in the first quarter added $4.6 million in new annual recurring revenue, up 17.8% from $3.9 million last year. For comparison, if all of our new subscription contracts had been under license arrangements, we estimate that they would have represented additional license bookings of approximately $5.7 million for the first quarter. Note that historic backlog and bookings numbers will also be restated to reflect the retrospective adoption of Topic 606. We signed 33 new contracts in the first quarter that included software licenses greater than $100,000 and those contracts had an average license of $387,000. Compared to 36 new contracts with an average license value of $707,000 in the first quarter of 2017, which included the $20 million contract with the State of New York. Our guidance for the full year of 2018 is as follows. We expect 2018 GAAP revenues will be between $933 million and $949 million, and non-GAAP revenues will be between $939 million and $955 million. We expect 2018 GAAP diluted EPS will be between $3.34 and $3.44 and may vary significantly due to the impact of stock option exercises on the GAAP effective tax rate. We expect 2018 non-GAAP diluted EPS will be between $4.73 and $4.83. For the year, estimated pre-tax non-cash, share-based compensation expense is expected to be approximately $55 million. We expect R&D expense for the year will be approximately $58 million to $60 million. Fully diluted shares for the year are expected to be between 40 million and 40.5 million shares. GAAP earnings per share assumes an estimated annual effective tax rate of 10% after discrete tax items and includes approximately $26 million of estimated discrete tax benefits related to share-based compensation, which may vary significantly based on the timing and volume of stock option exercises. We estimate the non-GAAP annual effective tax rate for 2018 will be 24%. This rate was reduced from 35% for 2017 to reflect the enactment of the Tax Cuts and Jobs Act. We expect our total capital expenditures will be between $22 million and $25 million for the year. Total depreciation and amortization is expected to be approximately $64 million, including approximately $41 million of amortization of acquired intangibles. Now, I'd like to turn the call back over to John for his final comments.
John S. Marr - Tyler Technologies, Inc.: Thank you, Brian. Our first quarter results met or exceeded our expectations. We achieved solid double-digit revenue growth, even as subscriptions made up a higher percentage of new software contracts. Margins were in line with our expectations, as we began to ramp up our discretionary R&D investment we outlined at the beginning of the year. We are increasing our R&D spend on a number of projects company-wide in 2018. And R&D expenses is expected to increase by approximately 23% to 27% over 2017. We are underway and making good progress with several of these initiatives. Although the higher R&D spend pressures short-term margins, we are confident these investments further strengthen our competitive position and drive meaningful addition to future revenues. We are excited about the acquisitions of Socrata and Sage. Both of these companies bring Tyler a wealth of valuable expertise in areas that are top-of-mind for the public sector entities: data analytics and cybersecurity. We welcome their clients and employees to the Tyler family. We will leverage our sales organization and customer base to drive growth at Socrata and Sage that will – that we expect to exceed our overall revenue growth rates. While Socrata will be dilutive to earnings for the balance of 2018, we expect it will be accretive in 2019. We've updated our full-year guidance to include the operations of the acquired businesses for the last eight months of 2018. Our current outlook for Tyler's core business is positive, and we're pleased that our guidance for the non-GAAP earnings per share is unchanged, even with the acquisition dilution. Finally, we want to thank the nearly 5,000 clients who attended Connect 2018, our annual user conference, last week in Boston. Clients took part in over 1,000 classes over 54 educational tracks, and we continue to share with them our vision of connected communities and the progress we've made on that since last year. Now, Robert, we'll take questions.
Operator: Thank you. We will now begin the question-and-answer session. As a courtesy, we ask that you limit yourself to one question at a time. Please know, however, that there will or may be an opportunity later to re-enter the question queue. At this time, we will pause momentarily to assemble our roster. The first question comes from Brent Bracelin of KeyBanc Capital Markets. Please go ahead.
Brent Bracelin - KeyBanc Capital Markets, Inc.: Thank you. One for John and one for Brian, if I could here. John, with the acquisition of Socrata, with the investments you've made in the Public Safety products over the last year, what's the broader strategy around Tier 1, Tier 0 cities? Walk us through your appetite. Are you getting kind of pulled into that environment or do you see an opportunity to kind of disrupt the status quo in those larger city environments?
John S. Marr - Tyler Technologies, Inc.: No, not really. Obviously we do creep up into the Tier 1 and Tier 0 marketplace as we move forward and that helps us expand the addressable markets we're working within. Courts & Justice probably has the biggest presence, doing very large cities, large counties and state-wide implementations, as you know. And we'll continue to kind of creep in that space but it is not a high-priority initiative for us. The deals below that level are much more product-oriented and less project-oriented and as you get into very large Tier 0 deals, they take on a life of their own. There's a lot of product expansion issues and, again, they come to be very service-intensive and more project-oriented. We do prefer product-intensive implementations where the license fees are a higher percentage of the engagement or the subscription fees and the post-implementated run rates, recurring run rates are higher as a percentage of the overall contract. That's what drives our model in a way that's most productive for us. So, again, we'll continue to inch in that direction, but it'd be a mistake to think that that's the highest priority for us. Socrata, obviously, has a strong presence there. They'll continue to pursue that with their direct sales resources but Tyler's role there will be able to productize it even further, make the – what are typically APIs that they have with various different applications in these areas, make those interfaces more seamless and ready out-of-the-box, lower service deliverable, and take the success they have had in the very large governments and drive that down into the mid-tiers where we have a bigger presence.
Brent Bracelin - KeyBanc Capital Markets, Inc.: Very helpful. And then, Brian, just as you think about kind of the R&D investments this year, you do now have two acquisitions and those bring some engineering talent as well. Does this give you more flexibility to moderate kind of your investments in R&D this year and leverage some of their engineering teams? Or are you working on different projects and that's not the way we should kind of think about the flexibility you have on R&D this year.
Brian K. Miller - Tyler Technologies, Inc.: I think it's more the latter. I think both Socrata and Sage's R&D talent is fully focused on their initiatives. Certainly, there would be integrations with Tyler products and as we continue to tie those together that will be added to their plates. But I don't think we expect those to change our R&D spend or the projects that we already have underway pre-acquisitions.
Brent Bracelin - KeyBanc Capital Markets, Inc.: Got it. Very helpful. Thank you.
Operator: The next question comes from Rob Oliver of Baird. Please go ahead.
Rob Oliver - Robert W. Baird & Co., Inc.: Hi. Good morning. Thank you for taking my question. Guys, on Socrata, just curious for some more color around the product integration plan. I think – we are the new folks here, but I think according to our math it's the largest deal you guys have done since New World, so – and that was a separate product area. This is going to be more an integration on top of your existing products. So, just want to understand kind of how we should look for that product integration pathway. Thank you.
John S. Marr - Tyler Technologies, Inc.: Socrata typically is application-agnostic. So, they typically go into sites and run over all kinds of different applications. Obviously, we have a strong presence and they're out there and we've gotten to know each other. And so many Tyler clients are Socrata clients as well and have already done that interface work. We will, as we go forward, as I said to the earlier question, we will take what a typical – typically application interfaces that have to be put in place during any implementation. And with the Tyler application, certainly our larger platforms make that more of an out-of-the-box interface that works more seamlessly and eliminate that need on a site-by-site basis. We'll still do those types of interfaces to non-Tyler applications. And sites will be able to interface and have a user experience that addresses all of their applications, whether they're Tyler or not. But it'll enable it to be much more ready, lower implementation service needs, and make it more viable in the mid-range accounts where it's been most successful historically than higher accounts.
Rob Oliver - Robert W. Baird & Co., Inc.: Great. Thanks, John. I have a couple more, but I can hop into the back of the queue. Thank you, guys.
Operator: The next question comes from Peter Heckmann with D.A. Davidson. Please go ahead.
Peter J. Heckmann - D. A. Davidson & Co.: Morning, everyone. Apologize if I missed it, but on Sage, I'm inferring that the annualized run rate revenue is close to $15 million. Is that about right? And I would assume it'd be somewhere around neutral to slightly accretive on an annual basis?
Brian K. Miller - Tyler Technologies, Inc.: No, Sage's revenues are in the $7 million to $8 million range. And it is roughly neutral to slightly accretive.
Peter J. Heckmann - D. A. Davidson & Co.: Okay. So in terms of then what you're adding on the annualized basis to Socrata, I think you said in the press release it was $25 million of run rate revenue, but it sounds like you're thinking on an annualized basis, maybe something closer to $30 million?
Brian K. Miller - Tyler Technologies, Inc.: Yeah. Their last fiscal year was $25 million. And so, yes, it'd be more in the $30 million range this year.
Peter J. Heckmann - D. A. Davidson & Co.: Got it. Got it. Okay. And then, just real quick, could you give us an update on the application you've developed in Illinois for searching court filings? And whether or not that is at a point where you think you could market it to other states?
H. Lynn Moore - Tyler Technologies, Inc.: Yeah, Peter, this is Lynn. That – we're still – we're finalizing that for research, the research product for Illinois. It's targeted to go out the last half of this year and go live. We do think it's fairly portable. It will – I think it will fairly be easy to move from state to state. But you should expect to see results from that later this year.
Peter J. Heckmann - D. A. Davidson & Co.: Great. I appreciate it.
Operator: The next question comes from Alex Zukin of Piper Jaffray. Please go ahead.
Alex J. Zukin - Piper Jaffray & Co.: Hey, guys. Thanks for taking my question. Maybe, Brian, a couple for you? You mentioned as a percentage of bookings over the past few quarters, subscription has gotten to be maybe a little bit north of your expectations on a pretty continuous basis. And I guess my question is what is the expectation for the full year at this point? How confident you are in that projection? And I'll stop there for a second.
Brian K. Miller - Tyler Technologies, Inc.: Well, it bounces around a lot from quarter to quarter, and the mix is – some of it is somewhat random. Although, as we've said in the past, we do expect in the long-term to continue to see a shift towards subscription. Last year, for the full year, it was about, in terms of contract value, 63% license-based and 37% subscription. So actually this quarter, although it was higher than last year, it was still reasonably in line with that. The fourth quarter typically has a higher license mix with a higher level of business for Public Safety, which is almost exclusively a license business. And certainly large contracts, which tend to be more license-based, affect that. And in this quarter, the revenue mix didn't include any of the mega contracts. It was much more normal bread and butter kinds of contracts. So we have a range of expectations for the year, and I'd say they generally encompass something – a mix that's slightly below the last year's numbers in terms of the percentage that were subscription to a few points above that in terms of the overall mix. I guess the midpoint would be somewhere around a similar mix to last year. So, for the full year, when you take into account larger contracts that may come in during the year, as well as the second half of the year, Public Safety surge, we'd expect sort of a modest expansion in terms of the mix that comes in as subscriptions.
Alex J. Zukin - Piper Jaffray & Co.: Got it. And then on free cash flow, I think for the quarter it was a little light of kind of our expectations or consensus. So, I know it's not a number you guide for, but I just wanted to understand maybe what was different. Anything in collections? Or how should we think about free cash flow for the balance of the year from a growth perspective?
Brian K. Miller - Tyler Technologies, Inc.: It's mostly related. The lower cash from operations and the change in working capital is mostly related to a higher balance of unbilled revenue. You will see some movement in that and between unbilled and deferred revenue with the switch to Topic 606. So there's some sort of changes on the back-end going on there. But the total increase in unbilled revenue is primarily related to just the specific billing terms on several contracts, particularly some larger contracts, where we've been able to recognize revenue prior to being able to bill it in accordance with the contract terms. That will all turnaround, we think, a fair amount of that during this year. So we still expect – and obviously, our CapEx for the year is projected to be about half of what our CapEx was last year. So, we still look to see a nice increase in cash flow for the full year.
Alex J. Zukin - Piper Jaffray & Co.: Got it. Is it possible just to get a sense for how – what was the impact of that unbilled in the quarter in terms of revenue recognized but cash flow that was not billed?
Brian K. Miller - Tyler Technologies, Inc.: Well, unbilled – let's see. Unbilled was – see, our unbilled receivables at March 31 were about $65 million. At December, it was about $52 million. So, there's about a $13 million increase in our unbilled receivables.
Alex J. Zukin - Piper Jaffray & Co.: Perfect. Thank you, guys.
Operator: The next question comes from Scott Berg of Needham & Company. Please go ahead.
Scott Berg - Needham & Co. LLC: Hi, John, Lynn and Brian. Congrats on a good quarter. I have one and a follow-up. They're both pretty brief. John or Lynn, wanted to see if you wanted to comment a little bit on the expansion deal in the Northern Territory of Australia. I assume they're pretty pleased with the initial implementation that's led to this one, but just broader speaking, how do you reflect on any potential international efforts with the success of that initial contract?
H. Lynn Moore - Tyler Technologies, Inc.: Yeah. Hey, Scott. It's Lynn. Yeah, I think, all in all, our first toe in the water down there, I think, has been quite a success. We got them up running, up live, on time, extremely happy. So what you see here is they've actually expanded some additional court types, which I think reflects our execution down there. It is, as you know, it's a fairly small state in Australia, but getting off the ground and being successful there was certainly very important. It's our first real international foray in the Courts area. I do think there are some additional opportunities in Australia. I think there will be some coming up in the next 12 to 18 months, perhaps sooner, and I think we're going to be well-positioned there by virtue of the fact of how we did perform down in the Northern Territory.
Scott Berg - Needham & Co. LLC: Great. Then just a brief follow-up for Brian. With the revised guidance that includes the two acquisitions, I was kind of surprised your R&D expense didn't increase from the prior guidance. I assume each of those companies was at least spending a little on R&D combined, which have -probably would have made your number go up and maybe your guidance just is now going to be on the high end of that range versus maybe on the lower end before. But just wanted to comment a little bit on integration efforts there because I thought there'd be a fair amount, at least in the short term.
Brian K. Miller - Tyler Technologies, Inc.: Yes, and both of those, obviously, just closed a couple days ago. And so, we really haven't – although their earnings contributions and revenues are included in the guidance, I don't think we revised the R&D. We don't expect there to be any incremental R&D in total, but their R&D really hasn't – those numbers haven't been pulled out and added into that guidance. So that guidance we gave is really sort of Tyler, ex the acquisitions. They're reporting – they didn't necessarily report R&D the same way we do. So we'll update those numbers. But in total, we don't expect to add significant resources as a result of the acquisitions.
Scott Berg - Needham & Co. LLC: Got it. Thanks. Helpful. I'll jump back in the queue.
Brian K. Miller - Tyler Technologies, Inc.: Yeah.
Operator: The next question comes from Jonathan Ho with William Blair & Company. Please go ahead.
Jonathan F. Ho - William Blair & Co. LLC: Hi. Good morning. Just wanted to see if you could maybe update us in terms of the R&D investments this year and maybe what milestones we should be looking for in terms of the outcomes for those investments?
John S. Marr - Tyler Technologies, Inc.: Well, they're pretty broad, Jonathan. And they're certainly by the kind of investments that roll out over time. So they're across many applications and many different functions. It can be features, it can be upgrades in user experiences. It could be working on new interfaces, certainly a lot going on around Nexus, Alliance and connected communities. So, it'd be a long list of different things. Certainly, Public Safety which has really been underway at an elevated level for two years is starting to show and release more of what they've been working on. So that's pretty ready. You saw our release this past quarter on EAM or enterprise asset management. So there's really a number of different applications that probably every quarter that there's a new release in some application every quarter or so that there's an upgrade in the demonstration on products that we're presenting. So it will be a consistent release of new features, new functions, better technology, better user experiences. And I think we think it's already impacting some decisions, both decisions themselves, whether or not we win a deal, as well as whether or not someone includes EnerGov or someone includes ExecuTime or EAM or other applications that we have developed with the intention of making these deals bigger to begin with or to sell them back through the installed base.
Jonathan F. Ho - William Blair & Co. LLC: Thank you.
Operator: The next question comes from Kirk Materne of Evercore ISI. Please go ahead.
Kirk Materne - Evercore Group LLC: Thanks very much. John, maybe you mentioned with Socrata a lot of your customers already are using them. Can you just talk about, is that – is the buyer the same person? Meaning, when you think about the buyers for the applications, which would, I think, more likely than not be in the IT function, does Socrata sort of pull you guys up to another level within some of these state and government institutions in terms of the decision makers? Can you just talk about that conceptually, just in terms of how you think that could benefit you if at all from this combo?
John S. Marr - Tyler Technologies, Inc.: Yeah, no, it's a good question. And – this is early and this is definitely an atypical deal for us. It's – we're more out ahead of it. This is not as essential as a payroll system or a court system, things we typically focus on. So we think we're out ahead of this. There's a strong player in the market in Socrata that we felt fit very well with us. Obviously, we have the most content on the backside of this and it makes a lot of sense. But admittedly, this is earlier stage than what we typically do. I think the answer would be both. Certainly, on the technology side, it's a lot of the same people. So, the IT leadership in the government that would be certainly involved in buying application software is going to be involved in that as well. But as you move away from that, instead of being led by application management users, this will get into a mayor's office, this will get into a governor's office, this will get into a little more of that side of the business, which is good for us. Our exposure historically has been with tax collectors and treasurers and accountants and judges and policemen and the people that run these applications along with the IT people and this will cross over into the executive offices. It's certainly got more of a citizen facing appeal. With our Nexus, Alliance and connected community strategies that pull all of our different back-office solutions together, I think that's a good thing. So again, it'll be a gradual – this is a long-term investment for us, but it will process over into the executive side of governments, and I think that's a good thing when you look at the comprehensive Tyler objectives.
Kirk Materne - Evercore Group LLC: That's very helpful. And then one for Brian. Brian, when I look at Socrata and Sage, could you just give us a little bit of an overview of the – how the revenue – the composition of the revenue, meaning subscription versus license versus professional services for those two companies, split up however you want. But I was just kind of curious of how we should see that contribution sort of roll on to the income statement? Thanks.
Brian K. Miller - Tyler Technologies, Inc.: Yeah, I don't have the exact mixes, but Socrata is heavily weighted towards subscriptions. They are a pure cloud business, hosted at AWS, and it's around 90% subscriptions. And then there's a small professional services revenue stream along with that. As John talked about earlier, those are typically not big service engagements related to those implementations. Sage is also a mixture of subscription-based for their in nDiscovery services, which is their lead product, as well as professional services that go along with that around the cybersecurity services that we provide. So it's a little bit more of a mix, but both of them are primarily subscription-based businesses.
Kirk Materne - Evercore Group LLC: Great. Thanks very much, and congrats on the acquisitions.
Brian K. Miller - Tyler Technologies, Inc.: Thanks.
Operator: The next question comes from Mark Schappel with Benchmark. Please go ahead.
Mark W. Schappel - The Benchmark Co. LLC: Hi. Good morning. Thank you for taking my question. John, could you just speak to the growth rate of the Public Safety business in the quarter? And if I recall correctly, the plan was to punch it up to about 9% this year from about 6% to 7% last year. And based on what you're seeing in the pipeline here, I was wondering if you could give us some indication whether that's on track?
John S. Marr - Tyler Technologies, Inc.: It's on track. It might be on the lower end of the range of expectations we had. After an acquisition, there really were a lot of moving parts related to different revenues and things that almost make it difficult to get very good comparisons. So they're kind of working through those things. The reception's been very good to the investments we're making. The customer satisfaction referencability has clearly improved significantly, and we're pleased with all of those things. But again, I think we are working through some transitional issues that have made the growth rate a little more stubborn for a little bit longer. But at this point, the leading indications of the win rates and the improvement in the competitive position and then, again, stability in the customer base and their ongoing revenues make us very confident that they'll see accelerated growth in the coming quarters.
Brian K. Miller - Tyler Technologies, Inc.: And their business is really, as we've talked about in the past, heavily weighted in the second half of the year. So it's difficult to draw a conclusion from just the first quarter. As John said, we're generally on track for the full year with – in line with our expectations.
Mark W. Schappel - The Benchmark Co. LLC: Thank you.
Operator: The next question comes from Zach Cummins with B. Riley FBR. Please go ahead.
Zach Cummins - B. Riley FBR, Inc.: Hi. Good morning. Thanks for taking my questions. So with Socrata anticipated to be dilutive to 2018 and you're still maintaining your prior R&D guidance for your core Tyler solutions, can you talk about if there's any anticipated cost savings? Where those, any of those, may be coming from for you to maintain your prior pro forma EPS guidance?
Brian K. Miller - Tyler Technologies, Inc.: I think the biggest difference, clearly, we communicated that Socrata would be dilutive. And with us maintaining the same guidance, clearly there's some outperformance in other areas of the business, and those are not isolated in any one area. But effectively, the core Tyler business is performing a little stronger for the full year and making up for the Socrata dilution. It's not a lot of dilution. It's in the – I'd say in the $0.05 to $0.10 a share range. And, again, that's the dilution offset by outperformance across the rest of the business.
Zach Cummins - B. Riley FBR, Inc.: Great. That's really helpful. And then just one other quick question. I saw that Socrata kind of – they have a small federal government business. I know Tyler has historically been focused on the state and local level, but if opportunities on the federal side were to present themselves, would you be interested in pursuing any of those?
John S. Marr - Tyler Technologies, Inc.: With Socrata or with our other applications?
Zach Cummins - B. Riley FBR, Inc.: Both, I suppose. With – would you be more aggressive in pursuing federal opp6ortunities with Socrata and then would Tyler, with their core business, be open to pursuing some if they became available?
John S. Marr - Tyler Technologies, Inc.: With both these acquisitions, we're going to be careful to make sure that they continue to execute on what their core strategies were. So their traditional markets, which are a little different than ours in both cases, their direct sales resources will continue to focus that – on that and develop it. So in the case of Socrata, certainly, their direct resources will continue to pursue federal deals. At some point in time, down the road, those relationships certainly could be something that's interesting on our application side and we're always looking to expand our addressable markets as we go forward. So I wouldn't look for that to be a high priority over the next, say, 12 to 24 months, but certainly further down the road, it could be.
Zach Cummins - B. Riley FBR, Inc.: All right. Great. Thanks for taking my questions.
Operator: The next question comes from Patrick Walravens of JMP Securities. Please go ahead.
Patrick D. Walravens - JMP Securities LLC: Great. Thank you. And let me add my congratulations. So, John, I heard a mention of embedding sort of more AI, machine learning kind of functionality and having that helps solve some problems for your customers. So, I would love to hear a couple examples of where you think that would work. And then, I'd also love to hear your thoughts sort of at a broader level – I mean, your software runs governments and police departments, so it seems to me that making sure that any AI you put in reflects human values and justice and fairness and accountability and that kind of thing is a lot more important than for most software companies. I'd love to hear your thoughts on that, too.
John S. Marr - Tyler Technologies, Inc.: Yeah. Well, again, all these things are somewhat early to us but we – you're right. Sat through our Courts & Justice and our Public Safety presentations at Connect last week in Boston and there's no question that the track we were already on with connected communities and now putting Socrata out in front of that, that our ability to take different information and different data that's in these systems and integrate it and present it in ways that are more actionable and provide the kind of information that city, county and state leaders would use to make decisions. But also businesses and citizens that are interacting with those communities as well. So, a lot of those specifics are to follow. But I think there's an exciting opportunity there and I think this will accelerate our connected community strategy and bring it to constituents that traditionally we didn't serve.
Patrick D. Walravens - JMP Securities LLC: And Brian, can I just ask, so how should we think about sort of margin expansion once we get – and I know you're not going to want to be too specific, but – and once we get past 2018?
Brian K. Miller - Tyler Technologies, Inc.: Yes. We said long-term that we continue to expect over, say, a multiyear period, maybe a four-, five-year period, a rolling period that we believe that if we're growing this low double-digit range, 10%, 11%, 12%, that we should over time expect to see an average of, say, 100 basis points a year or more of operating margin expansion. Clearly, that's being pressured this year and we're – our guidance is below that in terms of actually it's a little bit of contraction with the increased R&D spend, all of which is expensed in our financials. But we still believe that longer-term model of 100 basis points a year on average. Now, whether we get all the way back to that after 2018 in the first year is yet to be seen, but we could expect to perhaps outperform that beyond that. So, if you're looking out over the next few years, we'd expect that to be the target.
Patrick D. Walravens - JMP Securities LLC: Okay. Great. Thank you.
Operator: At this time there appear to be no further questions. Mr. Marr, I would like to turn the conference back over to you for any closing remarks.
John S. Marr - Tyler Technologies, Inc.: Okay. Thank you, Robert, and thank you all for participating on our call today. If you do have any further questions, feel free to reach out to Lynn Moore, Brian Miller, or myself. Thanks again. Have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.